Operator: Good day ladies and gentlemen and thank you for standing by and welcome to the Ambarella’s Third Quarter Fiscal Year 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we'll conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder, today's conference maybe recorded. It's now my pleasure to turn the floor over to Deborah Stapleton. Ma'am the floor is yours.
Deborah Stapleton: Good afternoon and welcome to Ambarella's third fiscal quarter financial results conference call. Thank you for joining us today. Our speakers will be Dr. Fermi Wang, President and CEO; and George Laplante, CFO. The primary purpose of today’s call is to provide you with information regarding our fiscal third quarter. The discussion today and the responses to your questions will contain forward-looking statements regarding our financial prospects, market growth and demand for our solutions, among other things. These are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize or should our assumptions prove to be incorrect, our actual results could differ materially from these forward-looking statements. We are under no obligation to update these statements. These risks, uncertainties and assumptions, as well as other information on potential risk factors that could affect our financial results are more fully described in the documents that we file with the SEC, including the Annual Report on Form 10-K that we filed on April 4 for the 2013 fiscal year and the Form 10-Q which will be filed shortly. Access to our third quarter results press release, historical results, SEC filings and a replay of today's call can all be found on the Investor Relations portion of our website. I'll now turn the call over to Fermi Wang.
Fermi Wang: Thank you, Deborah and good afternoon everyone. We are very pleased to report our Q3 revenue was $46 million, up 29% from the $35.7 million we reported in the third quarter a year ago. Q3 non-GAAP net income was $11.1 million or $0.37 per diluted ordinary share. This compares with the non-GAAP net income of $8.1 million or $0.31 per diluted ordinary share for the same period in fiscal 2013. The third quarter results was supported by continued growth in our camera markets and strong performance by our broadcast infrastructure business. I would like to discuss some of our products and marquee highlights, then I will turn it over to George for more in depth discussion of our third quarter financial performance and our guidance for Q4. Growth in our camera business was again driven by strong sales in IP security cameras. This market continues to benefit from the migration of our analog CCTV cameras to high-definition IP security cameras for both the professional and the consumer security markets. For the second quarter in a row, we estimate that we ship more SoC for use in IP cameras than any other camera categories, with sales particularly strong in China. And China Public Security Show held in Shenzhen during October where largest Chinese camera suppliers demonstrated IP cameras based on Ambarella's A5s and S2 solutions. This included camera supporting new Ultra HD 4K video standard as well as the morphed fisheye lens cameras. It was extremely wide [indiscernible] In addition to professional IP camera products, Ambarella see increase in demand in consumer IP cameras. Its demand has been driven by cloud services, Smartphone connectivity and improved ease of use. During October, Dropcam makers of the leading Wi-Fi video monitoring camera and the cloud service introduced its Dropcam Pro HD monitoring camera. The Dropcam Pro delivers outstanding video performance, wireless connectivity and a fast setup. Based on Ambarella's A5 SoC, the Dropcam Pro provides pristine HD video quality even over a limited wireless connection typical of a home environment. Overall we believe we will continue to see year-over-year revenue growth from both professional and the consumer IP camera markets because analog cameras are replaced by HD IP based solutions. And as cloud service and Smartphone access drive ease of use for consumers. During Q3, we had strong sales in sports camera category, backed by market leader GoPro. In October GoPro introduced its new HERO3+ Silver and Black camera editions. The smallest, lightest and the most powerful focal cameras to date. The HERO3+ Silver edition based on Ambarella's A7L SoC supports 1080p60 video recording, 10 megapixel focus and Wi-Fi connectivity. The HERO3+ Black edition based on Ambarella's A7 SoC offers 1080p60 and 4K video recording, 12 megapixel, 30 frame per second burst mode, GoPro SuperView and Wi-Fi connectivity. Also, during the quarter sports camera maker iON introduced its Air Pro 3 Wi-Fi sports camera. Based on Ambarella's A7 SoC, the Air Pro 3 supports 1080p60 recording, Wi-Fi connectivity and is water proof till 50 meters. In addition to wearable sports camera, the introduction a wearable sports camera, the introduction of wearable cameras for social networking and the professional cameras applications to provide a new and additional revenue opportunity throughout Ambarella. In the automotive aftermarket, Ambarella provides camera SoC solutions for video cameras recorders or dash cam. These cameras are sold primarily in Russia, China, Taiwan and the South Korea. During the third quarter we saw the introduction of the first product into the Russian market based on Amabrella’s A7L-A SoCs and the supporting new Super HD 3.0 megapixel high resolution video format. Many of the Russian camera prints feature the Ambarella logo prominently on products and the packaging as it is now recognized as a mark of quality by consumers in this market. We also continue to make progress in other geographies during the quarter. In Korea, DABONDA launched its Ambarella-based major Black Box HD camera but in China [indiscernible] higher launched its Series 7 camera based Ambarella’s A7L-A SoC and the featuring Super HD recording. In general, revenue for automotive camera was down during the quarter which was anticipated. As we discussed on the last earning calls this was a result of delays in customer new product introductions and increased competition in lower priced categories. During Q4 we believe revenues were we found that due to sales of our new camera based on A7L-A family and the customer demand for differentiated products with Super HD recording. In addition, we believe the market growth in China and the Korea was up [indiscernible] in the United States and the Europe we will have for future growth. In the video infrastructure business Ambarella provide solutions for television broadcast heading recorders and the trans-screeners (Ph) as well as a video contribution assistance. As we discussed on the last call Q3 revenue in the infrastructure market improved over the first half run rate (Ph) increasing to 13% of our total revenue in the quarter. The improvement related to several projects roll out by customers in the floor (Ph). Although we experienced some near term improvement or in the infrastructure market remains conservative and the market begins the next technology upgrade to HEVC and the 4K. In summary, we’re very pleased with our Q3 results. We continue to see growth opportunities in all camera markets professional and the consumer anticipated, sports, wearable and automotive as well as improvement in our broadcast infrastructure business. We are now looking forward to demonstrating our latest technology and new products to our customers during the consumer electronic shows in Las Vegas in January. With that I will hand over to George to discuss our financials.
George Laplante: Thank you, Fermi and good afternoon everyone. I’ll start today’s discussion with the financial results for the third quarter of our fiscal year 2014 that ended on October 31, 2013, and then review the financial outlook for Q4. During the call I’ll discuss non-GAAP results and ask that you refer to today’s press release for a detailed reconciliation of GAAP to non-GAAP results. For non-GAAP reporting we have eliminated stock based compensation expense as adjusted for income taxes. As we’ve discussed in the past the company has seasonality to both its revenue and gross margin. Driver includes year-on-year comparisons for certain key operating metrics to assist in the understanding of changes in our business. I’ll now start a view of revenue for our third quarter of fiscal 2014 the company had net revenues of $46 million. The Q3 revenue represented an increase of 29% or either $35.7 million in revenue for the same period in the prior year. Camera market revenue is estimated at 87% of Q3 revenue as compared to 81% for the same period in the prior year. Our year-over-year growth was driven by strong performances in our professional consumer IP security and wearable sports camera markets partially offset by decline in our automotive revenues. In addition we get experience considerable sequential growth in our infrastructure revenues in line with the discussions on our last earnings call. The sports and security markets demonstrated both sequential and year-over-year growth. Growth in sports cameras is driven primarily by seasonal production ramps by our customers in anticipation of the holiday season which included the introduction of two new camera models from GoPro. In the professional and consumer security markets, we experienced steady growth across our core customers in North America, China and Europe as well as some positive impact from consumer driven seasonality as in Q2 of this year we estimate that we shipped more units into the security market than any other individual camera market. As discussed on the last call the automotive market did decline in Q3 both sequentially and year over year primarily due to the late rollout of our new A7L-A based camera products and competitive pressures at the low end of the market the new A7L-A based automotive products have begun to ship and are receiving positive reviews from customers and therefore we continue to believe the market will experience sequential growth in Q4 as expected Q3 infrastructure revenues improved from the first half run rates which we believe reflects one off projects rolled out during the quarter. Ambarella continues to be conscious on infrastructure revenues for next year we do see customer development activity focused on next generation compression technology. Ambarella uses WT Microelectronics as its logistics partner for distribution through a majority of our ODMs and OEM customers for the quarter ended October 31, 2013 sales to WT represented 60% of our revenue which is the same percentage as the previous year. Chicony Electronics Company, a manufacturer of camera products for multiple OEM customers, as well as for their own distribution, represented 25% of revenue for the quarter compared to 18% for the same period in the prior year. WT and Chicony were the Company’s only 10% customers. Non-GAAP gross margin for Q3 of fiscal year 2014 was 63.8%, as compared to 61.9% in the immediate preceding quarter and 64.5% in the third quarter of the prior year. In comparison to the preceding quarter, Q3 gross margin improved as a result of higher infrastructure revenue as a percent of total revenue for the quarter as well as an increase in camera market margins due to the earlier than anticipated product cost savings received. Non-GAAP operating expenses for Q3 2014 were $16.8 million, compared to $14.8 million for Q2 2014 and $14 million for Q3 of the prior year. As you may recall R&D expense in Q2 of this year was reduced by $1 million as a result of a onetime non-recurring payment from a customer for the development and delivery of a custom Software Development Kit or SDK. The balance of the OpEx increase reflects higher cost associated with amortization of new chip development programs and added headcount primarily in our Asia software development team. Total headcount at the end of Q3 2014 was 489, compared to 470 at the end of the previous quarter with about 351 employees dedicated to engineering. Approximately 76% of our total headcount is located in Asia, primarily in Taiwan and China. Non-GAAP net income for Q3 2014 was $11.1 million or $0.37 per diluted ordinary share, compared with non-GAAP net income of $8.1 million or $0.31 per diluted ordinary share for the same period in the previous year. The non-GAAP effective tax rate in Q3 2014 was 11%. In Q3 2014, the non-GAAP earnings per ordinary share are based on 30.4 million diluted shares as compared to 13.4 million diluted shares for Q3 of 2013. The Company is required to apply the two-class method to calculate earnings per ordinary share. In periods prior to the IPO, the two-class method allocates a portion of our earnings to preferred stock as well as eliminates the preferred shares from the outstanding share count prior to computing basic and diluted earnings per ordinary share. This accounting treatment makes it difficult to compare our currently reported EPS to those periods where preferred shares were outstanding for all or a portion of the period as in Q3 of the previous year. For fiscal 2014 and beyond, quarterly EPS will we computed on a basis consistent with that used since the fourth quarter of fiscal 2013. Looking at the first nine months of fiscal 2014, our revenues of $117.6 million and non-GAAP net income of $25 million represents increases of 31% and 41% respectively over the results of the same period in the prior year. We ended Q3 with cash of $128.1 million, adding $7 million of cash from operations in the quarter. Total accounts receivable at the end of Q3, 2014 were $25.4 million or about 51 days sales outstanding. This compares to accounts receivable of $21.9 million or 53 days sales outstanding in the prior quarter. Net inventory at the end of Q3 was $13 million or about 63 days up from $9.9 million or 61 days at the end of Q2. Increased inventory of our high volume A5 SoCs as well as the rank of our new A7L chips contributed to the increase. I would now like to discuss the outlook for Q4 of fiscal year 2014. We expect revenues for fourth quarter ending January 31, 2014 to be between $37 million and $39 million reflecting a normal seasonal decrease from Q3. This represents an increase of between 17% and 24% over Q4 of last year. Q4 camera revenues are estimated to be between 88% and 90% of total revenues for the quarter, as compared to 83% in the same period in the prior year. Q4 revenues our wearable sports and professional and consumer IP security camera markets are expected to demonstrate solid year over year growth. We anticipate a sequential increase in revenues from the automotive market in Q4 but below prior year levels as we continue to transition our customers to Ambarella’s new A7L-A based products. In addition we see our Asia based professional security market revenue slowing as we exit the quarter and continuing into Q1c as a result of normal industry seasonality and the impact of Chinese New Year holiday on local sell through. We estimate Q4 non-GAAP gross margins to be between 62% and 64%, compared to 63.8% in the preceding quarter and 63.3% in the same period in the prior year. We expect non-GAAP net income for the quarter to be between $5 million and $6.5 million. We expect new chip development expense to become a larger percentage of our total OpEx in Q4 and into next year as we begin to develop in the new 14 and 16 nanometer process nodes. We are using an estimated non-GAAP annualized effective tax rate of 14% for net income amounts. For the increase in Q4 effective tax rate relates to an increase in reserves for taxes that mainly due on foreign RUs as a result of local audits. The effective tax rate for fiscal 2014 is now estimated to be 11%. If you’re tracking GAAP net income Q4 will reflect an increase of approximately $400,000 in stock-based compensation expense over Q3 as a result of the grant to employees of Restricted Stock Units or RSUs made in August under our annual evergreen stock program. We estimate our diluted share count for Q4 to be 30.8 million shares. I would like to thank everyone for joining our call today and now I will turn it back to Fermi.
Fermi Wang: Thank you George, I would like to authorize the early release of financial results today really see the course at approximately 11:40 AM Pacific 2:40 PM Eastern but all financial results is on wire services. This early release does not originate a flat Ambarella we have not authorized the release of our press release by our wire service and the release has not yet been posted to our website. We are investigating how this happened and we will take appropriate measure to prevent further instances. As a result of the early unauthorized release of our results we decided to publicly issue our release at 12:30 PM rather than late on after market closed. Operator we will now take questions.
Question:
and:
Operator: Yes sir. (Operator Instructions) And it looks like our first phone question from the lines will come from Kevin Cassidy with Stifel. Please go head. Your line is now open.
Kevin Cassidy : Just on the IP security cameras you did see some growth in the consumer side can you tell us what is between professional and consumer right now?
 Stifel Nicolaus: Just on the IP security cameras you did see some growth in the consumer side can you tell us what is between professional and consumer right now?
Fermi Wang: Right now there are split is still probably by professional and the top candidate is our first significant week in the consumer space. Today all consumer IP security cameras still spin off acquisition which we don’t play but though we do see the transition for swap standard definition to high definition happening right now and we expect that that transition will continue.
Kevin Cassidy : Fermi you had mentioned that starting to development on 14 and 16 nanometer nodes is that for wearable cameras or is that for a base of all your cameras?
 Stifel Nicolaus: Fermi you had mentioned that starting to development on 14 and 16 nanometer nodes is that for wearable cameras or is that for a base of all your cameras?
Fermi Wang: Well we are fortunate there is no basically for the power saving so any top market I can enjoy the low power consumption will be the target for the 14 and 16 nanometer process.
Operator: Thank you and it looks like our next question will come from the line of Ross Seymore with Deutsche Bank. Please go ahead sir. Your line is now open.
Matt Zolman : This is actually Matt Zolman on Ross’s behalf great results here I wanted to talk a little bit about your gross margin I know that the infrastructure revenues were mentioned as a primary contributor there but the cost saves on the camera side? If you could shed some light there as to the sustainability of those that would be greatly appreciated.
 Deutsche Bank: This is actually Matt Zolman on Ross’s behalf great results here I wanted to talk a little bit about your gross margin I know that the infrastructure revenues were mentioned as a primary contributor there but the cost saves on the camera side? If you could shed some light there as to the sustainability of those that would be greatly appreciated.
George Laplante: Yes the primary cost savings were on our high volume A5S product and also on some margin improvement on our A7L products that we are launching during the quarter. The cost reductions were actually received because of volume discounts we received from the supply chain and they came a little earlier than we had anticipated earlier. The cost savings are permanent and the issue really is, is these are actually coming in earlier than we have a lot of these cost savings get passed on to our end customers overtime so it s really a timing issue where we got them earlier then we had to pass them on. But with that said as you can see our margins are still within the guidelines that we have given in the past.
Matt Zolman : And another question on the security business that has been growing very nicely over the last two quarters I am curious if you could give us a percentage that security adds a percentage of your total revenues in fiscal ’13 and year to date in the fiscal ’14 just to get an idea of their trajectory of that business?
 Deutsche Bank: And another question on the security business that has been growing very nicely over the last two quarters I am curious if you could give us a percentage that security adds a percentage of your total revenues in fiscal ’13 and year to date in the fiscal ’14 just to get an idea of their trajectory of that business?
George Laplante: Yes we don’t give out the actually breakout within the camera space we have been consistent with that because of the channel we sell through but we do based on our tracking information have said that in the past year the security business has been our fastest growing business. Now that is really a function of landing several new customers during the year very large security customers primarily based in Asia those customers are up to speed so as we said in Q2 although we will continue to grow in the security business it will not be at the same rate as we saw in the first half of this year.
Operator: Thank you, sir. (Operator Instructions) Alright our next questioner will come from Jay Srivatsa with Chardan Capital Markets. Please go ahead. Your line is open.
Jay Srivatsa : In terms of the next quarter are you meaning to your first quarter the question was related to seasonality are you expecting the IP camera business to also be seasonally down or is it primarily related to the consumer side?
 Chardan Capital Markets: In terms of the next quarter are you meaning to your first quarter the question was related to seasonality are you expecting the IP camera business to also be seasonally down or is it primarily related to the consumer side?
George Laplante: Well as you saw as I said in my little talk that we do see at the end of this quarter and through some of our discussions with our Asia based security customers that there is some seasonality to the Asia based professional security market primarily in China it is usually their Q1 is their lowest quarter of the year we don’t see that seasonality in other parts of the world for our security business and this is primarily driven by local holidays and things like that where sell through is lower so their revenues are a little bit lower.
Jay Srivatsa : And then in terms of inventories you mentioned the higher ASP A5 and A7 constituting the increase so are we together in terms of unit volume you really haven’t seen an increase in inventories it more a dollar content would that be a fair way to characterize it?
 Chardan Capital Markets: And then in terms of inventories you mentioned the higher ASP A5 and A7 constituting the increase so are we together in terms of unit volume you really haven’t seen an increase in inventories it more a dollar content would that be a fair way to characterize it?
George Laplante: No we have actually had unit increase and dollar increase but it is in our high volume parts primarily driven by A5S and new launch of a 7L it is a new product line. So both units and dollar are up somewhat in the quarter we would see those drip down probably by year end as a result of selling off for the holiday season. A5S is a very popular product.
Jay Srivatsa : And then last question in terms of the competitive landscape on the auto side you have talked about how things have intensified and in terms of price competition how do you hope to address that market going forward?
 Chardan Capital Markets: And then last question in terms of the competitive landscape on the auto side you have talked about how things have intensified and in terms of price competition how do you hope to address that market going forward?
Fermi Wang: Well it is a very competitive lowering sight and we definitely believe that we need to continue competing in that market but at the same time we are trying to work with our partners in that market to offer them more differentiated products that I said about the 3 megapixel high super HD quality as well as the few channel of support although it is functions will provide our major customers with a differentiated product and so that they can continue to compete in that space so on the lower end side again price is driven there and we will continue to compete on price on that.
Operator: Thank you, sir. And it looks like our next question will come from Glenn Bong with Needham and Company. Please go ahead. Your line is open.
Quinn Bolton - Needham & Company: Hi Fermi and George I apologize I missed most of the opening comments so I apologize if these questions were addressed in the script but just wondering on the security camera business could you just do for the broader market tell us where you think we are in the transition from analog cameras to IP cameras does it still have only analog cameras or do you think that that mix has become a more balanced?
Fermi Wang: When we report to our customer we still get a feeling that most of our customers do some more analog camera than IP security camera today however they all agree the transition happened so quickly they can see that in the next couple of years they think they can the order can reverse but today if you talk about market I still think a majority is still analog.
Quinn Bolton - Needham & Company: Great, thank you. And then just was wondering if you provided any updates on the A9 silicon for next year?
Fermi Wang: We are still working with our key partners on those projects, and we are confident that you're going to see product coming out next year with A9.
Quinn Bolton - Needham & Company: As you look forward to A9, I would think you obviously have a big step up in functionality, so probably a healthy area to be. But from a margin perspective do you think it comes in at sort of similar ranges or could there be some margin issues initially as you ramp that product? Any thoughts that we should we thinking about the impact as A9 begins to contribute to revenue next year?
Fermi Wang: It's actually going to come in very similar to where we stand now on our A7 product line in the consumer space. So in sports cameras the A7 and the A9 margins appear to be very similar. Where we will get a higher margin is on the S2 version of that product which is the security camera version which we anticipate higher margins on that version.
Quinn Bolton - Needham & Company: And then just lastly, any updates on sort of where you are with HEVC and sort of next generation codecs?
Fermi Wang: First of all we do, when we talk about broadcasting included business, we do talk about that our cost must -- I want to engage the conversation of HEVC and so now we do believe HEVC and 4K will eventually happen, but not in the near future. However for other markets, example security camera market also HEVC. So as a company that have been given compression technology it's our job to continue to work on the most advanced compression technology.
Quinn Bolton - Needham & Company: But no public comment here on timing of when you may have those in the market, your solutions in the market?
Fermi Wang: Not yet.
Quinn Bolton - Needham & Company: Okay, will stay tuned. Thank you very much.
Operator: And it looks like we do have an additional question in queue, it will come from the line of Kevin Cassidy with Stifel. Please go ahead, your line is open.
Kevin Cassidy - Stifel: Thanks for taking my follow up question. On the wearable cameras you had mentioned social networking. Can you say what the criteria is or what kind of the specs would be for wearable camera?
Fermi Wang: Since there is no product we announced in that space yet, it is our customer product. So I will prefer to stay until the our customer announce the product offers before making a comment on that. But again we can say that we are engaging with that sort of activity and we believe -- seeing some products second half of next year.
Operator: Thank you sir. (Operator Instructions) That does conclude our time for questions. I'd like to turn the program back over to Mr. Fermi Wang for any additional or closing remarks.
Fermi Wang: Thank you. Like I said I'm very happy about the financial performance we've delivered in Q3 this year, and I will thank all our colleagues at Ambarella to make that happen. I'm very proud of that. And also want to thank all of you to joining us today. See you next time, thank you.
Operator: Thank you presenters. And thank you ladies and gentlemen, again this does conclude today's call. Thank you for your participation and have a wonderful day. Attendees you may now disconnect.